Operator: Good day and thank you for standing by. Welcome to Nasdaq's First Quarter 2024 Results Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. 
 I would now like to hand the conference over to your first speaker today, Ato Garrett, Senior Vice President, Investor Relations. Please go ahead. 
Ato Garrett: Good morning, everyone, and thank you for joining us today to discuss Nasdaq's First Quarter 2024 Financial Results. 
 On the line are Adena Friedman, our Chair and Chief Executive Officer; Sarah Youngwood, our Chief Financial Officer; John Zecca, our Chief Legal, Risk and Regulatory Officer; and other members of the management team. After prepared remarks, we will open the line for Q&A. 
 The press release and earnings presentation are on our website. We intend to use the website as a means of disclosing material nonpublic information and complying with disclosure obligations under Regulation FD. 
 I would like to remind you that certain statements in this presentation and during Q&A may relate to future events and expectations and constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from these projections. Information concerning factors that could cause actual results to differ from forward-looking statements is contained in our press release and periodic reports filed with the SEC. 
 Further, any references to organic growth will exclude the impact of changes in FX rates and the impact of acquisitions and divestitures, which this quarter is substantially all related to AxiomSL and Calypso. The financial results of these businesses are included in Solutions revenue, within the Financial Technology division. 
 Also please note that we will discuss certain financial results on a pro forma basis, which means that we are showing the results as if we've included Calypso and AxiomSL results in the first quarter 2023 and excluded the impact of changes in FX rates. Reconciliations of U.S. GAAP to non-GAAP results can be found in our press release as well as in a file located in the Financials section of our Investor Relations website at ir.nasdaq.com. 
 I will now turn the call over to Adena. 
Adena Friedman: Thank you, Ato. And good morning, everyone. Thank you for joining us. 
 Today, my remarks will cover the following areas: our outlook on the external environment as well as highlights from our first quarter financial and operational performance, including innovation milestones and key progress updates on our cross-sell efforts and synergies. I will then turn the call over to Sarah for a review of our financial results. I'll start with our outlook on current economic environment. 
 Recent data, including sustained consumer spending and labor force strength, suggests that the U.S. economy remains resilient despite heightened geopolitical risks and a higher cost of capital. The U.S. markets are generally performing well, reflecting that economic resilience as well as the potential future productivity benefits that derive from the adoption of generative AI and other sector-specific performance trends. This strength in the U.S. economy has U.S. growth projected to outpace other advanced economies. As such, economists continue to expect a soft lending in the U.S. Although other advanced economies are seeing slower growth, recent data shows improvement in manufacturing and services, particularly in Europe. 
 Global inflation has trended sharply lower over the last year, although it is starting to show some signs of persistence as it moderates globally. Markets are still expecting rates to begin to decline later this year in most major markets, which will be a positive for corporates and for the real estate sector, including new homebuyers. 
 With the strength of -- in the markets, we've begun to experience an uptick in IPO activity. In the first quarter, the U.S. markets welcomed 39 operating company IPOs, the most in 2 years, highlighted by 9 IPOs with market caps in excess of $1 billion. Additionally, as we referenced in our most recent Nasdaq IPO Pulse Index, we're seeing 5 out of 6 leading indicators of future IPO activity continue to improve, suggesting an improvement in the U.S. public equity capital raising environment over the coming months. 
 As we look towards the remainder of the year at Nasdaq, we see a healthy pipeline of exciting companies preparing to enter the public markets. But their time lines will be dependent upon continued strong economic and market performance. 
 Taking a closer look at Nasdaq's business environment, we continue to capitalize on attractive opportunities for sustainable growth through our diversified business platform that is well positioned to succeed through economic cycles, as evidenced by our solid first quarter performance with double-digit growth in our Solutions revenues. We've aligned our business against key industry-shaping megatrends, the modernization of markets, the transformation of the investment landscape, the drive towards sustainability and increasing financial services investment in resilience and risk management, where we are uniquely positioned to capitalize on strong, sustained client demand, which we'll cover throughout our call today. 
 Before we move on to our financial results, I want to mention Borse Dubai's recently completed secondary offering of Nasdaq common stock. Specifically, Borse Dubai sold a position of their stake representing approximately 5% of Nasdaq's total shares outstanding. The secondary transaction priced on March 19 and closed on March 22, with strong investor demand resulting in an oversubscribed transaction. Following the transaction, Borse Dubai continues to hold just over 10% of Nasdaq's total shares outstanding. Additionally, Essa Kazim, the Chairman of Borse Dubai, will continue as a valued member of Nasdaq's Board of Directors. 
 Our relationship with Borse Dubai is multifaceted, spanning many years, and Nasdaq continues to be a trusted technology provider and brand partner to Borse Dubai. We look forward to their continued support as a shareholder of Nasdaq, as their insights and contributions have and will continue to shape our path ahead. 
 Turning now to our financial results. I'm pleased to share Nasdaq's solid financial performance for the first quarter of 2024 with strong double-digit growth in Solutions revenues. In the first quarter, we achieved $1.1 billion in net revenues, an increase of 7% compared to the prior year quarter on a pro forma basis. We delivered 13% pro forma revenue growth across our Solutions businesses during the quarter. In addition to strong performance across our Financial Technology division, our Index business had a stellar performance in the quarter. 
 Our annualized recurring revenue, or ARR, increased 7% year-over-year on a pro forma basis to $2.6 billion. Across the company, we supported revenue growth and continued investments while delivering a 53% operating margin for the quarter. This represents a 1 percentage point of operating leverage against the prior year quarter both on a pro forma basis and when excluding Adenza. 
 Our solid performance in the first quarter of 2024 illustrates our continued ability to execute against our strategic vision, delivering value and growth to our clients and shareholders amid a dynamic operating environment. Now let's review the highlights of our operational accomplishments and client successes by division, starting with Capital Access Platforms. 
 In the Capital Access Platforms division, we delivered 15% growth highlighted by outstanding performance in our Index business. With the strong close to 2023 and subsequent market rally at the beginning of 2024, our Index business had an exceptional momentum in the first quarter. The Nasdaq-100 reached record highs multiple times during the quarter. And we are pleased to announce that our Index business overall crossed the $500 billion threshold in ETP AUM for the first time during the quarter, finishing the period at $519 billion. Over the last 12 months, we saw $46 billion of net inflows, including $21 billion just this quarter alone. We also worked with clients to launch 29 new products tracking Nasdaq indices, demonstrating our steadfast focus on innovation and global distribution. 
 This momentum contributed to our Index business delivering 53% growth, which represents 38% year-over-year core revenue growth in the quarter as well as a onetime item that Sarah will describe. This quarter also marked the 25th anniversary of the Invesco QQQ ETF, representing more than 2 decades of providing investors with access to some of the world's most innovative companies within our Nasdaq-100 index. In addition to this milestone, we were honored to be named the Index Provider of the Year by etf.com, which further validates our efforts to improve investor outcomes through product introductions, innovation, performance and support. 
 Our Data and Listings business was up 1% year-over-year, as global growth in our data business was offset by headwinds from delistings and a muted IPO environment. In the first quarter, our U.S. listings business achieved a 69% win rate when considering Nasdaq-eligible operating company listings. In total, we welcomed 22 operating company IPOs, raising nearly $4 billion in proceeds, including Kaspi.kz, Astera Labs and BrightSpring Health. In addition, 4 companies, representing $9 billion in market value switched their listings to Nasdaq during the quarter, including SAIC. 
 In our data business, we continue to make progress with the signing of new customers to enterprise agreements, with additional growth driven by our international expansion strategy, reflecting the importance of creating a frictionless data experience with multiple delivery capabilities for our global client base. 
 Turning to our Workflow and Insights business, which grew 4% year-over-year. We saw continued weakness in Corporate Solutions as lower sales in 2023 will continue to have an impact on our financial performance in 2024. While our sales cycles have been starting to improve over the last 6 months, they continue to be meaningfully longer than what we experienced in 2021 and the first half of 2022. 
 New sales are also impacted by a persistent lower -- slower IPO environment. We are generally able to demonstrate the value of our IR and ESG solutions beyond the complementary IPO package to newly listed companies once they've had a few months to experience the rigor of the public markets. While we're encouraged by the early signs of an improving IPO environment, any IPO market improvements that we may experience in the coming quarters will take time to translate into improving sales and revenue results for our Corporate Solutions business. 
 In our Analytics business, we achieved high single-digit growth in the quarter. And we continued to deepen our strategic alliance with Mercer, one of the largest global investment consultants. During the quarter, Mercer incorporated our new eVestment ESG Analytics for asset manager diligence and insights into their assessment process. We're excited about this expansion and see additional opportunity to deepen and expand our partnerships with the asset management community going forward. 
 Across both Analytics and Corporate Solutions, our proprietary data remains a strategic differentiator. For example, in Analytics, we continue to develop innovative data products in our Data Link offerings that are attractive to traders and the investment community. And we have solid growth in our Market Lens product offered through our eVestment platform. 
 We're also focused on enhancing our products through the use of AI. In Corporate Solutions, we're advancing Nasdaq Boardvantage with AI-powered workflow tools and are collaborating with Microsoft's ICONIC AI Incubation Lab on a series of planned AI-enabled features. As part of this partnership, we're launching a new capability that creates executive summaries for Board members and supports corporate secretaries in preparing and summarizing Board documents. We're currently testing this feature with clients in a beta release. 
 Turning next to the Financial Technology division. We delivered 10% growth in the quarter. Overall, we're encouraged with the very strong client response and engagement across the new division, which further reinforces our view that our clients are looking for strategic partners that can help them navigate the complexities across the financial system and operate more efficiently. 
 As part of the transition of the Calypso and AxiomSL businesses to Nasdaq, we hosted our first-ever Financial Technology conference in New York City earlier this month. The event brought together more than 170 clients from over 80 accounts. Feedback from the clients was positive, highlighting their belief that Nasdaq is the right owner and a trusted partner that will invest in the Calypso and Axiom offerings to fuel both the next wave of modernization and help them mitigate, manage and capitalize on today's environment. Through the event, clients were educated on the Nasdaq organization, the product road map strategy for the AxiomSL and Calypso offerings and on Nasdaq's comprehensive suite of solutions. This has created new commercial conversations that the team is currently pursuing. 
 Now let's turn to our performance highlights, starting with the Financial Crime Management Technology business, where we achieved 23% revenue growth and 24.5% ARR growth over the prior year quarter. We advanced our leadership position among small- and medium-sized financial institutions, signing 28 new clients during the quarter. As a reminder, the fourth quarter is our biggest bookings quarter each year, and we have a strong pipeline of sales targets to execute on as we progress through the year. 
 We also continue to fight -- to advance our fight against financial crime with the full production launch of our first -- of the first of our AI copilot tools that we're calling Entity Research Copilot. This tool, which is offered through the Bedrock platform at AWS, offers -- fully automates workflows with generative AI to improve investigator efficiency. By automating tasks related to research, summarization and documentation, Verafin offers significant efficiency gains that allow banks to scale their crime-fighting efforts without increasing headcount and enables them to shift resources and investment to higher-value activities and more complex investigations. 
 We're encouraged by early user results, which showed these enhanced solutions -- through these enhanced solutions, Verafin delivers up to a 90% reduction in alert review time for investigators compared to legacy approaches. We rolled out this new capability in Verafin through a beta program in the second half of last year, and we announced this week that we're moving to full production and rolling out availability to all of our bank clients. 
 Next, I'll discuss the Capital Markets Technology, which is comprised of our trade management services, market technology and Calypso businesses. Overall, Capital Markets Technology grew 6% year-over-year, with 9% growth in ARR. Calypso had a particularly strong performance, with total revenues and ARR growth both demonstrating strength in client demand for our solutions. Calypso had 25 upsells and 1 new client sale during the quarter. While we're early in our journey of unlocking the cross-sell opportunities across the division, we executed on an opportunity with a client who was looking to adopt a data connector between Calypso and AxiomSL, which highlights the synergies between these 2 products. 
 Now market technology had a more challenging quarter, largely due to a tough comparable quarter in 2023. We experienced solid growth in ARR but a decline in revenue from professional services primarily because of a significant delivery fee that we received in the first quarter of 2023. Within market technology, we accelerated our strategy to modernize markets by bringing leading technologies to our customers. We signed agreements to upgrade 3 matching engine clients to our next-generation platform during the quarter, and we launched a large global clearing and custody provider to the Nasdaq risk platform. 
 Let's turn now to our Regulatory Technology business, which is comprised of our AxiomSL and surveillance businesses where we delivered 11% growth. Our AxiomSL business experienced strong sales and renewals throughout the first quarter. The product had 20 upsells during the quarter and 1 new client sale. With the upsells, we had 3 new ESG sales to G-SIB clients. In our surveillance business, we had 26 upsells and 5 new client sales during the quarter. Across the business, we saw continued cloud adoption, with 55% of total NTS clients now in the cloud at the end of the first quarter, which represents an increase from the end of last year. 
 As we reflect on the Financial Technology division's first full quarter, we're very pleased with our financial and operational performance. We delivered revenue growth in line with the medium-term outlook that we announced at Investor Day, with strength across many areas of business as well as continued innovation in our product offerings. 
 Since the formation of the Financial Technology division, we've executed on 6 cross-sells, including 1 this quarter, highlighting the strength of our One Nasdaq go-to-market approach. In addition, we have multiple cross-sell campaigns underway, and we're pleased with the growing share of cross-sell opportunities within our pipeline. As such, we're showing early progress towards our 2027 $100 million-plus cross-sell target. 
 Moving to Market Services, where we're navigating a complex market backdrop, particularly against a strong 2023 first quarter comp, we're experiencing 9% decline in revenue. The U.S. options business had a lower-revenue quarter due to lower volatility compared to the prior year quarter, which included turbulence in the banking system as well as increased competition in U.S. options from new entrants and shifts in retail activity resulting from the lower-volatility profile. Despite these headwinds, Nasdaq maintained its market share lead over the #2 operator in U.S. multi-listed equity options. And our proprietary U.S. index options products, notably NDX, continued to gain strength with record revenues, volume and share. 
 In the Nasdaq Stock Market, we're also pleased to confirm the launch of Dynamic M-ELO, which commenced its rollout across symbols on April 15, with the rollout scheduled to be completed by mid-May. As we've discussed previously, Dynamic M-ELO is the first SEC-approved AI-powered order type designed to improve fill rates and create greater efficiency for our investors. In Europe, where overall market liquidity continues to be challenged, we were able to maintain strong share and capture across our equities, derivatives and fixed income markets as we continue to add value to our clients through our data analytics and new trading products. 
 We also continue to advance our efforts to bring transparency to nascent markets. Early in the second quarter, Puro.earth released a new report tracking the rapid expansion of global carbon removal markets over the last -- over the past years. With Puro.earth as well as our carbon market technology, we experienced strong growth in volumes and revenues as the market continues to mature with greater supply coming online. And we remained well positioned to capitalize on growing demand for carbon removal credits by bringing much-needed transparency, standardization and registry services to this emerging space. 
 As we move forward, we are focused on retaining our leading market position across all of our markets and continue to build on the strong growth that we've seen in our proprietary NDX options products and in Puro.earth. 
 To wrap up, we're pleased to deliver another quarter of solid results that were in line with the medium-term outlook we provided at Investor Day. In Nasdaq's core businesses, we delivered well in what we can control within a tougher market environment, including a continued muted IPO environment and lower market volatility. 
 Across our Solutions businesses, we delivered double-digit revenue growth, including strong Financial Technology results and exceptional Index performance. Within Financial Technology, our recent acquisitions of AxiomSL and Calypso as well as Verafin continue to progress well and remain in line with expectations. 
 With our top line performance, combined with continued expense discipline, we maintain our exceptional margin profile for the company. All told, our performance underscores the durability of our business model and our ability to deliver growth across uncertain environments. 
 With that, I will now turn the call over to Sarah to review the financial details. 
Sarah Youngwood: Thank you, Adena. And good morning, everyone. 
 Turning to our financials. My commentary will focus on non-GAAP results. And year-on-year growth rates and operating margins will be provided on a pro forma basis unless noted. You can find all the same metrics on an organic basis throughout the earnings presentation. 
 Turning to our first quarter results on Slide 10. We reported net revenue of $1.1 billion, up 7%, with Solutions revenue of $871 million up 13%. Operating expense was $524 million, up 5%, resulting in an operating margin of 53%, up 1 percentage point and with EBITDA margin at 56%. Overall, this resulted in diluted EPS of $0.63. 
 Turning to Slide 11 with pro forma revenue growth of 7% for the quarter. As you can see in the last bar of the chart, results included a $16 million onetime revenue benefit related to a legal settlement within Index tied to the recoupment of revenue. Excluding this, total net revenue increased 6%. And on a net basis, the 6% was alpha performance. 
 Overall, beta factors were neutral this quarter, with Index market performance primarily offset by the impacts of delisting in Capital Access Platforms and lower volumes in Market Services. The 6% of alpha included 5% growth from our existing clients and a strong 3% from new clients, cross-sell and other product innovations, with churn at a low 1% level and a 1% decrease from market share and capture in Market Services. 
 Turning to Slide 12. ARR totaled $2.6 billion, up 7%. As you recall, ARR excludes most of Index. We had 12% growth in fin tech, with strong contributions from each of the 3 subdivisions, and 1% growth in Capital Access Platforms, with strength in Analytics partially offset by the impacts of delisting, the slower IPO environment and related slower sales in Corporate Solutions. Annualized SaaS revenue totaled $932 million, up 16%. SaaS was 36% of ARR, up 3 points on a pro forma basis. 
 Let's review division results for the quarter, starting on Slide 13. In Capital Access Platforms, we delivered revenue of $479 million, reflecting growth of 15%, or 12% excluding the onetime benefit I mentioned. Index revenue increased by 53%, or 38% excluding the onetime benefit. We achieved record highs in ETP AUM, averaging $492 billion during the quarter, which is roughly $150 billion higher than the prior year period average. This includes strong market performance as well as higher futures trading volume and capture. Importantly, we also had net inflows of $46 billion in the last 12 months, including $21 billion this quarter. This performance is the result of strength of our data, brand and the relevant and innovative products we have launched over many years. 
 Licensing revenue for futures and options contracts linked to the Nasdaq-100 index also had high-teens growth reflecting higher futures and options trading volumes, up 5%, driven by growth in micro Nasdaq-100 futures contracts as well as the positive impact from higher capture rates of our partners. 
 Moving to Data and Listings, where revenue was up 1%. Within listings, the benefit of 2023 IPOs and pricing was offset by the $10 million impact of last year's delistings and downgrades. The roll-off of prior year's initial listings revenue didn't have a material impact this quarter but will increase during the year. Within data, we continue to see global expansion driven by international demand, mostly offset by normal levels of [ pie share ]. 
 Workflow and Insights revenue increased 4%. Within this, Analytics grew high single digits, reflecting our continued ability to monetize the value of our data across the investment management and trading community. Our proprietary data is key to our alpha generation throughout Nasdaq. And within Analytics, we provide valuable client insights through eVestment and Data Link. 
 The strength in Analytics was partially offset by Corporate Solutions, which was flat in the period. As we continue to see elongated sales cycles at levels comparable to the fourth quarter of 2023 as well as fewer sales opportunities due to the challenging listing environment. 
 In total, ARR for Capital Access Platforms was $1.2 billion for the quarter, up 1%, with alpha growth from pricing, upsells and new clients mostly offset by delistings and the continued impact of slower sales cycle among our corporate clients. The division's operating margin was 58% for the quarter. Excluding the onetime benefit, the margin was 57%, up 3 percentage points. The increase was driven by higher revenue, partially offset by inflation and growth-oriented investments. 
 Looking forward to the full year 2024 revenue. Due to the market backdrop negatively impacting Corporate Solutions, we expect growth in Workflow and Insights to be below its medium-term outlook, whereas the strength in our Index business gives us confidence that, within 2024, we can perform above our medium-term outlook. Taken together, we continue to expect our 2024 performance to be within the overall revenue outlook for the Capital Access Platforms division. 
 Moving to Financial Technology on Slide 14. As a reminder, last week, we provided 2023 quarterly information for AxiomSL and Calypso, and today, we provided quarterly pro forma divisional results for 2023, both of which can be found in the appendix of the presentation. This should help you incorporate pro forma comparison in your model. 
 The division delivered revenue of $392 million for the quarter, up 10%, in line with our medium-term outlook. The growth reflects strong performance in financial crime management, Calypso and AxiomSL at 23%, 23% and 15%, respectively, with strong client engagement. This was partially offset by a tough comp in market tech due to a significant professional service delivery in the prior year quarter, which we noted at that time, and makes the year-on-year comparison less meaningful. 
 ARR was $1.4 billion, up 12%, with all subdivisions contributing to this strong growth. The key contributors to the difference between total revenue growth and ARR growth were lower year-on-year professional service revenue growth due to the tough comp for market tech as well as less-robust project delivery across our products in the quarter, partially offset by upfront revenue from on-prem renewals, particularly for Calypso. 
 Before we move to subdivision results, a few words on the strong performance of AxiomSL and Calypso. Combined revenue of $151 million increased 20% versus last year, with good client momentum. We had a high level of upfront renewal revenue. We also had higher cloud-based revenues and slightly lower professional services revenue. 
 As we look forward, we continue to expect combined AxiomSL and Calypso revenue to be in line with the full year expectations provided at Investor Day. As we progress through the quarters, we will provide some context to support your modeling. On the back of a strong first quarter, which delivered revenue growth above alpha trends, we expect lower revenue growth in the second quarter, due in large part to the timing of renewal. 
 Combined AxiomSL and Calypso ARR of $473 million was up 15%, or up 16% excluding the impact of a significant 2023 bankruptcy noted last quarter. This is in line with our full year expectations as provided at Investor Day, and we maintain this outlook for the year. 
 Moving to the subdivisions results. Financial Crime Management Technology revenue was $64 million, up 23%, with ARR of $243 million up 24.5%, reflecting continuous penetration of the core SMB client base, adding 28 new clients in the quarter, with full year 2024 SMB client wins expected to be at least that of 2023. While we had no new Tier 1 or 2 bank signings in the quarter, we continued to have active and positive engagement with a strong pipeline of client opportunities which we expect to sign in the coming quarters. 
 Regulatory Technology revenue was $90 million, and ARR was $328 million, both up 11%. Excluding the impact of churn related to the liquidity event of March 2023, revenue and ARR were up 12% and 13%, respectively. Surveillance grew 6% for both revenue and ARR, reflecting strong sales as well as the continuation of the cloud transformation of this business, with 55% of Nasdaq Trade Surveillance customers now in the cloud. 
 AxiomSL grew revenue 15% and ARR by 16%, reflecting strong sales. In the quarter, nearly 50% of new bookings were in the cloud, highlighting the continued cloud journey for the business that is ultimately beneficial for both our clients and Nasdaq. 
 In Capital Markets Technology, we delivered revenue of $238 million, up 6%, with ARR of $821 million up 9%. Calypso had a strong quarter, with revenue up 23% and ARR up 14%. Revenue included a strong contribution of on-prem renewal revenue. The business had 16% of new bookings come from the cloud, a lower proportion than what we expect for the year due to timing. 
 The combined market tech and trade management services business, which is what we used to call marketplace tech, was slightly down in revenue but up in ARR, again driven by the significant professional service delivery in the prior year period that provided a tough comp. This impact was somewhat offset by the partial quarter impact of pricing increases coupled with strong client activity and testing revenue within trade management services. Looking forward to the full year 2024, we expect the combined market tech and trade management services to be well positioned within the 3% to 5% range, with a muted second quarter and the growth being back ended. 
 The division's operating margin in the first quarter was 45%, up 2 percentage points. The margin expansion reflects strong top line revenue growth and the beginning of synergy realization, partially offset by higher compensation and benefits expense and expense related to revenue and investments in growth. 
 And wrapping up the divisions with Market Services. Net revenue was $237 million for the quarter, down 9% versus an extremely tough comp. The first story here is 1 percentage point or $3 million relating to our share of nonrecurring industry adjustments to the tape plan. The rest was about half beta, half alpha, with beta drivers across tape, 1 fewer trading day and volumes in Europe; and most of the alpha story tied to last year's exceptional capture in our U.S. options business during the bank liquidity events in the first quarter. $0.13 per contract traded in 1Q '23 was an exception in a consistent 2-year trend of capture at $0.12, which is where we were in the first quarter. 
 The division's operating margin of 56% in the first quarter represents a 6 percentage points decrease from the prior year period as a result of lower revenue as well as ongoing investments related to both capacity enhancements and modernizing our market. 
 Turning to Slide 16. This quarter's non-GAAP operating expense was $524 million, reflecting pro forma growth of $24 million or 5%. This is driven by inflation, supporting our revenue growth and investments. This compares to pro forma revenue growth of $76 million or 7%, reflecting positive operating leverage. 
 Now on to guidance. We are updating 2024 non-GAAP operating expense guidance to $2.125 billion to $2.185 billion to reflect FX, equity compensation and less uncertainty on revenue growth. The midpoint represents pro forma growth of just over 5%. This includes a full year of Adenza, FX and the in-year benefits of net expense synergies. Excluding Adenza, Nasdaq's expense growth would be around 4.5%. In addition, the second quarter will reflect our annual merit adjustments and equity grants. And therefore, we expect expense to increase just under $20 million from the first quarter of 2024, assuming stable performance and exchange rates. 
 On synergies, we have actioned approximately 40% of our $80 million of net expense synergies through the end of 1Q '24, with the P&L benefit weighted towards the second half of 2024 and into 2025 given some transition projects. We are confident in the 70% actioned by the end of 2024 and would note that it won't be linear. Additionally, we continue to expect a full year tax rate of 24.5% to 26.5% on a non-GAAP basis. 
 Turning to Slide 17. Strong free cash flow continues to be the hallmark of Nasdaq. In the quarter, we had $504 million of free cash flow. Please note that cash flow generation in the first quarter is generally elevated versus the rest of the year. Once again, we had a cash flow conversion ratio above 100% at 106% for the last 12 months. 
 In terms of free cash flow utilization in the quarter, we paid a quarterly dividend of $0.22 per share, or $127 million, for a 35% payout ratio. And we did not repurchase any shares this quarter. We also repaid the remaining $340 million of our term loan, in line with our prior commitment of prioritizing deleveraging. And finally, we repaid $67 million of commercial paper. Excluding commercial paper, all of our outstanding debt is now fixed. Our all-in pretax cost of debt was 4.0% as we exit 1Q '24. 
 Turning to leverage. Our gross leverage ratio declined from 4.3 at the end of last year to 4.1 at the end of 1Q '24. In addition to the stated debt repayments, our leverage ratio decreased 0.1x from impacts of FX, amortization of debt issue costs and stronger EBITDA. We are reiterating our expectation to achieve gross leverage below 4x, 9 to 12 months ahead of our initial goal. 
 As I reflect on this quarter, I would highlight strong client adoption and growth in Solutions overall and particularly in Index, Analytics, financial crime management, AxiomSL and Calypso; strong progress on synergy actions and building of cross-sell pipelines; and continued actions on deleveraging. As we look ahead, I continue to be impressed by the balance and diversity of the business model, enabling us to grow the top line with strong margins and to effectively execute our capital allocation plans. We are well positioned to deliver on our One Nasdaq strategy and achieve durable organic revenue growth and profitability. 
 Thank you for your time. And I will turn it back to the operator for Q&A. 
Operator: [Operator Instructions] And I show our first question comes from the line of Owen Lau from Oppenheimer. 
Kwun Sum Lau: Could you please add more color on the cross-sell campaigns to achieve your $100 million target? What is the plan for the rest of this year? Does it mainly cover the cross-sell within Adenza or between Adenza and Verafin or across the whole company? 
Adena Friedman: Thanks, Owen. Sure. So we actually described the current cross-sell campaigns at Investor Day a few weeks ago, and it really covers across the fin tech division. So one of the cross-sell campaigns is really focusing on bringing more of the Calypso risk management, collateral management capabilities into our market operator clients. 
 Another one actually is working with the Calypso clients to bring more AxiomSL capabilities, so bringing AxiomSL into some of the capital markets firms where they have new regulatory obligations that they're facing. 
 And then the third is introducing some of the Verafin clients to the AxiomSL team as well and the Calypso team, particularly actually on the treasury management capabilities within Calypso, that we think are relevant to the Tier 3 banks that we -- that are really a big part of the Verafin client base. 
 So those are the 3 main campaigns we have, but I would tell you it is actually really interesting as we talk to our bank clients, our broker-dealer clients, our exchange clients. When we have conversations today, it generally will start with one product and then move to a second. I was actually talking to one client just the other day, where they're an AxiomSL client and they're really interested in anti-fin crime. So we can kind of look holistically at the strategic relationship in ways that we haven't been able to do in the past. So it's been a great start, and we hope to be able to show some tangible progress. It will take time for these opportunities to turn into contracts. As you know, it takes time to contract with banks, but we are very encouraged by the early conversations we're having. 
Kwun Sum Lau: Got it. That's helpful. Just a quick follow-up on Verafin. I think you didn't sign Tier 1 and Tier 2 banks this quarter, but the number was still pretty strong. Can you please talk about the pipeline for the rest of this year for Tier 1 and Tier 2 banks and also give us an update on the international expansion opportunity? 
Adena Friedman: Sure. Yes, sure. So you're right. We didn't sign any new clients, but we are working really well and implementing the clients we signed last year. And that's going quite well. And we have a lot -- a very, very good pipeline of companies either that we're in the middle of doing proofs of concepts for or we're in the middle of contracting. And so we do feel very good about our ability to continue to sign those clients as we proceed through the year. And it's interesting. 
 So the challenges that we're really focused on that we bring to the clients -- usually the first way to get in the door at least is through the fraud detection and investigative capabilities because it's just such an easy and clear return on invested -- investment that we can show them in terms of reducing false positives and increasing fraud found. 
 Another area of focus right now for a lot of the bigger banks is check fraud, and we have a new check fraud capability that we're rolling out that we think is really best in class. And we're really excited on our engagement there. And then with our new -- our entity research and copilot tool, that really supports our anti-money laundering capabilities. And with a 90% reduction in investigative time, we actually think that could be a really great way for us to engage with larger banks, in addition, of course, to our entire clientele. 
 In terms of the international expansion, we're focused, I think we've mentioned at Investor Day, primarily on Canada and the U.K. And some of those are progressing quite along, and some of them are still very early conversations. 
Operator: And I show our next question comes from the line of Alexander Blostein from Goldman Sachs. 
Alexander Blostein: So maybe starting with Adenza as well. Really strong year-over-year growth you pointed out, about 20%. And it sounds like a lot of it is coming on the Calypso side, so can you kind of help us bridge the sources of growth, particularly at Calypso and, as you think on the forward, how you see that opportunity unfold for Calypso specifically over the course of this year and into next? 
Adena Friedman: Sure. Thanks, Alex. Actually I'll go -- I'll cover Calypso and AxiomSL together, so -- I mean each of them. But I think Sarah did a really nice job of laying out the growth for each of the products as well as combined. And what you're seeing is some of it is timing of renewals. So we did have a really good renewal quarter for Calypso and AxiomSL but particularly at Calypso with more of the on-prem deliveries, so our on-prem renewals, which you know is a good revenue driver for us in terms of how we recognize the license fees. 
 But if you look at just ARR growth, which is really kind of takes out some of that onetime benefit and just looks overall at the strength of the platform, they're both growing in the mid-teens ARR growth. And I think that that's just showing strong demand across the clientele for Calypso. It's risk management, treasury risk management, capital risk management. And I think that they're -- that's a big, big focus of banks. And we still are in that sweet spot of the Tier 2 and Tier 3 banks that we can sign across the world. 
 I think with AxiomSL, it's all about new regulation, and so we have the ESG modules that we sold into the G-SIBs, so it's really interesting. We're definitely making progress on signing around the Basel requirements and other new regulations that are coming. And so I would have to say it's a pretty consistent demand cycle for both products, and we -- and we're -- it's been great. I mean the clients are really excited to work with us. 
 As well as also talking about like that one connector, that one client that did connector between Calypso and AxiomSL, what that means is they're already a Calypso client. They know they have new regulation. Instead of having to like create a whole new data integration for AxiomSL, we're able to take the data from the Calypso and automatically imported into AxiomSL, and that lowers the time to market for us to implement the Axiom products and obviously makes the Axiom product more appealing. So pretty excited about what we're doing across both products this year. 
Alexander Blostein: Great. And then my second question is just around the market tech business. You flagged that you signed agreement to upgrade a number of clients, I think you said 3, to a new matching engine next-gen platform. Can you help us maybe contextualize what that means in terms of revenues? Is it stronger revenue? Is there any sort of installation fee upfront, profitability of those platforms? If there's any -- any meat around the bone would be great. 
Adena Friedman: Yes, sure, yes. So I think, when we sign new clients to the next-gen system, whether it's trading or clearing, we do have implementation revenue, and now we're calling that professional services revenue that comes in as we work through the implementation. We'd start to receive the license revenue upon delivery, so that's a little bit of a difference between Calypso, Axiom versus market tech. 
 But what we're finding is, when we work with them on the next-gen systems, first of all, it allows them to have flexibility to consider cloud for the first time, right? So markets both on trading and on clearing settlement, it allows them to start to understand that they can deliver these and start to operate in cloud, which would increase our share of wallet if that's the way they choose to go, but even without that, we do have some opportunity to upsell them on the renewal because it's really world-class technology and also provide them additional services. 
 So for an example, with one client that we're working with, they also are taking risk management capabilities, which is cloud delivered, as well as market operations capabilities, which are cloud delivered, so we have an ability to actually continue to upsell them on other components of what it means to run a market. And those are all cloud delivered, so they're much easier for us to implement for them. And that's the way that we're working with these -- our market tech clients to continue to get a bigger share of their spend while also giving them more value and modernizing their business. 
Operator: And I show our next question comes from the line of Dan Fannon from Jefferies. 
Daniel Fannon: I wanted to follow up on capital access. You talked about some pickup in listings but clearly still slower than we've seen previously in previous years, but curious about the revenue impacts. I think you mentioned still some flow-through of the delistings that occurred, so wondering how we should think about the revenue progression this year. And then also tying that to Workflow and Insights, it sounds like any rebound or recovery in that segment is also tied to a pickup in listings. So just curious about the outlook there and what really will get that business kind of accelerating growth. 
Adena Friedman: Sure. I'm going to hand the first part of the question over to Sarah. And I'll talk about Corporate Solutions. 
Sarah Youngwood: Yes. So what you're looking at in Data and Listings and listings, in particular, is that we are coming into the year, and that's what we've discussed for a while at this point, with some headwinds. And in particular, I gave you the $10 million for the delistings of last year and the downgrades. And so that's the impact for 1 quarter. 
 And so you have that as well as I also mentioned that, as you go into the year, we're going to start seeing the effect of the costs of 2021 not being as well replaced by the following [ classes ]. So the amortization of the initial listing fees is also a headwind, not so much for this quarter but for the rest of the year. So you start with that. And of course, you have -- offsetting that is some benefits of [ right ] pricing as well as the new IPOs, but this is a lot of headwinds to offset. 
 So this is the context there. So the IPO environment would certainly help if it came in the second half, but it's a slow-moving machine where you will have that amortized. And therefore, it's hard to offset those delisting fees, which are the full impact. 
Adena Friedman: Yes. So that -- I think we started to talk about that towards the end of last year, but I think it's important to recognize, as Sarah said, it's a slow-moving train in terms of both the impact of the delisting environment but then also the impact of an improving IPO environment. 
 Now how that parlays into corporate services, one of the things that we've talked about over the last several years -- and it's kind of the flywheel effect of having -- when we have an active IPO environment, we get more companies to come into the market. They start to understand the needs for their investor relations capabilities. They want to modernize their governance and ESG reporting for their clients. And they start to look not only at the IPO package we give them but other upsells and capabilities we can offer them. And that's a positive flywheel. Now in a tougher environment where we have companies delisted but also fewer new customers to sell to, that's also having kind of the flip effect on market -- or on the Corporate Solutions business, so we want to make sure you're -- you guys understand those dynamics. 
 When we think about Corporate Solutions overall, and we've had this business for a long time, we've kind of described it as kind of a business that has, I would say, kind of low to mid-single-digit type of growth environment, as a general matter, when markets are normalized. And this isn't necessarily a totally normalized environment. 
 So we're wanting to give you those -- that context, so you think about that -- what that means for the overall Workflow and Insights business. And that's why Sarah shared with you kind of our full year view of that business, as compared to outlook, versus the Index business, of course, where we're having a very strong start to the year. And we anticipate that, that would be -- that would come in above our outlook for the year. 
Daniel Fannon: Great. That's helpful. And then I guess, just on the Index business, based upon quarter-to-date or year-to-date activity, is -- can you give us a sense of when the tiering might occur with the pricing with CME based on where things sit now? 
Adena Friedman: I mean that generally occurs in the second quarter. I don't think that we have a precise answer to that, but it generally occurs in the second quarter. 
Operator: And I show our next question comes from the line of Michael Cho from JPMorgan. 
Y. Cho: I just wanted to touch on Axiom and Calypso as well. I mean it looks like each of that ARR trends are healthy. And clearly the increase in subscription revenues are helping that growth this quarter. I guess can you just help us unpack a little bit about how much price and upsells was a driver here in terms of that revenue growth and how that mix might change in the coming years? And is there a different approach to that when we think about Axiom versus Calypso? Because clearly they serve different markets and different solutions. 
Adena Friedman: Yes. So I think that I would say, first of all, as we said before, we have about -- half the revenue increases tend to come from upsells. And half come from pricing changes and new sells -- sales. We don't try to break that out further than that. And I think that's generally the case. I don't know if it's precisely the case for this quarter, but that's the general way that we consider the revenue growth. 
 In terms of how that might change over time, I think that really has more to do with as we continue to roll out the cloud capabilities for our clients because that gives us a chance to do more for the client and, therefore, get a higher value for our solutions. And so that creates a pricing lever for us, but that's because we're providing more value. So as we continue to progress with the cloud and new bookings in cloud -- as you saw with Axiom, we had 50% of new bookings in cloud. We were a little slower this quarter on Calypso, but that's kind of more of a timing thing. 
 I think that we believe that, that will continue to progress our ability to have that as a pricing lever but also make it so that the revenue is more stable over time. You have more predictable revenue streams in the years ahead, but we are in that transition period, so that transition period creates the ability for -- and we want to make sure we're giving you color on this on-prem versus cloud so that you can kind of work with us through that transition period to those benefits from cloud over time. 
Y. Cho: Great. And then just a quick follow-up on marketplace tech. I think I heard, Sarah, you say the 3% to 5% for 2024 in terms of revenues. I just want to make sure I caught that right. And two, what's the driver there in terms of the back half loaded in terms of the revenue growth? 
Sarah Youngwood: Yes. So you heard me well that we would be well positioned within the 3% to 5% range there. And I did say a muted second quarter and the fourth being back ended. 
 And I think Adena wanted to comment on that. 
Adena Friedman: Yes. I just want to say we have some deliveries that we're delivering kind of partway through the year. That, obviously, has been turned on the license revenues, and so that can help. And then we feel that we have a good pipeline of growth and new clients so that we'll be able to deliver growth as we go through the year, but we feel very good about -- as you said, it's within the range, and I think you said strong within the range. 
Sarah Youngwood: Yes. And I would just add also that the project delivery, which was a tough comp, it was really a tough comp in the first quarter but also a bit in the second quarter. 
Operator: And I show our next question comes from the line of Craig Siegenthaler from Bank of America. 
Craig Siegenthaler: We had a question on index options with NDX. How can you tap into the growing popularity with index options just given your strong brand with the Nasdaq-100 index? I think your share of index options is only about 1%, but the growth rates are high, and the revenue capture is very attractive in this business. 
Adena Friedman: Yes. Thanks, Craig. Yes, you're right. So we have a great opportunity there, and we've been putting a lot of focus on that. It's been a good collaboration between our index team and the options team, so we -- what's nice is we have all of that within Nasdaq. So together, they're working on building a really good, robust trading ecosystem for the NDX options platform, as well as building on an institutional demand for our index products, which then drives interest in hedging and other things that would then drive interest in the index options. 
 So it's definitely kind of taking hold. I think we had a really strong uptick in volumes in the index options year-over-year. It was like 80% increase and then a, like, 15% quarter-over-quarter increase in the volumes in the index options. So it's -- that's definitely been a really great bright spot. And we agree. We're just at the beginning of what we can achieve there. 
Craig Siegenthaler: And just for my follow-up, it's on the comparison between ARR and revenues given the growing focus you have on ARR. As you move into more subscription and reoccurring businesses, should we see more of a delta between these 2 metrics on a quarterly basis? 
Adena Friedman: I would actually say that, as we move more towards cloud, there should be less of a delta, but that's a long transition. I think we have to recognize that, for the AxiomSL, Calypso and market tech businesses, those are still primarily an on-prem delivered solution with transitions to cloud, whereas for the financial crime management business it's entirely cloud, as well as NTS now. That's a SaaS business. So the majority of those revenues, you'll see more of a -- the ARR looking closer to total revenue. 
 So that delta, I would say, will persist for a while, but we're trying to give you enough transparency so that you can understand the difference and you understand the trends that are driving the differences. But when we look at our business, we say, what's the underlying health of our business, we are focusing on ARR. And that, to us, is a better reflection of the overall client demand, as opposed to like individual deliveries and professional services. 
Operator: And I show our next question comes from the line of Benjamin Budish from Barclays. 
Benjamin Budish: Just following up on that last question from Craig, is there anything you can share about sort of the upcoming pipeline in 2024 in terms of on-prem versus cloud implementations? Just I know you're kind of guiding and talking about the business on an ARR basis, but just as we think about our models, is there anything specific we can think about quarter by quarter? 
Adena Friedman: Quarter by quarter, I think we're not going to provide that level of detail. I would say, if we look over the last year and we kind of looked at Calypso and AxiomSL over the last year, I think it was around 40%. Is that right? 40% new bookings? 
Sarah Youngwood: Yes, yes. Almost half. 
Adena Friedman: Yes. So almost half of the new bookings were cloud last year. I think that, as we were starting this year, we saw 50% of the new bookings for AxiomSL were cloud this year and with Calypso being lower around 18%, but as we said before, it's more of a timing issue. So we would hope that we would get around the same level over the course of the year, but we're not able to provide you kind of quarter by quarter. I think we just are giving you a little bit more overall color for the quarter in AxiomSL and Calypso just to help you model but not to that level of precision. 
Benjamin Budish: Got it. Understood. And then for my follow-up, I just wanted to ask on the IPO win rate. Just Q1 looks a little bit lower than what you reported in the past, but is that sort of just a function of the quarter itself? And based on the pipeline for the rest of the year, do you have any expectations on should that sort of trend back upwards? What are your thoughts there? 
Adena Friedman: Yes, sure, yes. So I think every quarter is a little bit of a different story and based on the nature of the companies that are going public, but our overall view is that we have a great, strong pipeline. We have a great platform. We're very confident in our ability to keep our win rate high. And we're really excited about the companies that are looking to go public in the next -- hopefully, in the next quarters. And also -- I would also mention that, over the last year, our win rate was 80%. So we have to look at it a little bit over a longer period of time, but we have 80 companies in the pipeline to go public on Nasdaq. And we're really hopeful that they feel good about being able to tap the markets in the coming quarters. 
Operator: And I show our next question comes from the line of Simon Clinch from Redburn Atlantic. 
Simon Alistair Clinch: I was wondering if you could -- just going back to the cross-selling opportunities. At the Investor Day, you mentioned you're sort of starting to build an enterprise sales team. That's something relatively new to the Nasdaq story, as I understand. I was wondering if you could update us on how that's progressing. Are you -- have you already built it? Is this now a fully functioning team and driving the cross-sells? Or is that momentum still to come? And I have a follow-up. 
Adena Friedman: Yes. Actually we had -- just had a meeting about it across the management committee last week, where we talked about how we're going to approach enterprise sales and making sure that we have -- across Nasdaq, we have a good connective tissue to make sure that we can deliver for the enterprises. And we're doing a lot in blocking and tackling. 
 So first is making sure we have kind of an enterprise sales organization. The second thing is we're doing a lot in the data management of our client data to make sure we can look at our client data across the franchise and be able to have line of sight across the franchise so that we can actually talk to the clients on an enterprise basis. And then in terms of the sales commissions to the way that our price sales team works with the product sales teams, we've designed a commission plan around that, that I think really helps drive behaviors and alignment. 
 So that's -- all of that is actually -- just so you know that enterprise sales team is being built within fin tech, but the collaboration across the fin tech division and the cap division and Market Services is really, really strong. And we hope to be able to demonstrate really good strength there and -- going forward. That's a big part of our ability to achieve the cross-sell target, but we definitely have made a lot of progress already. 
Simon Alistair Clinch: Okay. That's great. And then I think, just lastly, I was wondering if you could perhaps expand a little bit more on the very strong flows we've had in the Index business and, in particular, interest outside of the Nasdaq-100 franchise. I mean could you give us a little bit more detail about that and just how to think about the momentum and sustainability? 
Adena Friedman: Yes. So you're right. So we've given a stat at Investor Day that I think is worth mentioning. So about 70% of our revenue comes from the Nasdaq-100 franchise, but another 30% comes from other indices that we have in terms of innovative indexes around AI, cloud and cyber as well as momentum and other factor indices that we have around the world. So it actually is a pretty diversified platform. 
 And in terms of the inflows, it's pretty mixed, meaning that it's coming from all of our Index products, with probably strength coming in on some of the innovation indexes, the Nasdaq-100 as well and on global distribution. So we've definitely been really focused on globalizing the distribution of our products and bringing in investment and inflows across the world. So those are probably the ones that are getting the most inflows, but it isn't just the Nasdaq-100. 
 And what's really interesting is it's been very consistent. Whether or not the markets are up or down, we're seeing inflows. And so I think that that's also showing that investors are kind of seeing through a quarter and reflecting on the future of the economy, and they want to be a part of that. So that's what we're seeing in terms of inflows. 
Operator: And I show our next question comes from the line of Kyle Voigt from KBW. 
Kyle Voigt: Maybe just a couple of follow-ups. So first is a follow-up on Dan's earlier question on the Workflow and Insights business. It still sounds like the Analytics business is posting high single-digit solid growth. I think the Corporate Solutions, that likely imply is kind of flattish. And you noted the elongated sales cycles. I guess can you just talk about the average sales cycle for that business and kind of the lag time that you'd expect between when the IPO environment ramps and when you ultimately expect to see an acceleration in revenues in that Corporate Solutions business? 
Adena Friedman: I think that the reason why we wanted to give you that level of disclosure this quarter is just to help you understand kind of how we see the year. I think that as -- if the IPO environment ramps up, and that's -- it's an if, we've -- and obviously it's a when at some point, but in terms of looking at it within the year, if we see improvement there, we tend to have, I would say, probably on average kind of a 6-month sales cycle would probably be a good average, around maybe 4 to 6 months in terms of an average on sales cycle for clients. 
 But I -- so -- but then, of course, they also have to understand what -- that they need the product. So if they go public, they start to recognize that they really want more intelligence about their investors. They really want to make sure they have the right ESG reporting. And they start to work with us more holistically kind of as they season. And then there, I would say maybe like sometimes it can be a very quick sales cycle, but we'll say like 4 to 6 months is a general view, so you're talking about more going into 2025 to start to see momentum if we have a recovery in the IPO environment. 
Kyle Voigt: That makes sense. And then just a follow-up on kind of capital priorities. It sounds like, over the near term, #1 priority still remains deleveraging. I guess with the Thoma Bravo unlock coming later this quarter, can you just talk about any willingness to restart buybacks or start to deploy some capital towards buybacks this quarter? Or should we really expect that to be 100% allocated towards deleveraging near term? 
Sarah Youngwood: Thanks, Kyle. So in terms of the capital prioritization, we're super consistent with what we said at the Investor Day. We were really glad to be able to pay down the term loan this quarter and to end the quarter at 4.1. We are totally committed to all of the time lines that we have given at Investor Day. So the 9 to 12 months ahead, you can consider that to be something that we will deliver. 
 And within that, we're keeping some flexibility to consider share repurchases if it makes sense. And that would be, in particular, related to the employee issuance. So offsetting the issuance, we think, is important, but when we look at it comprehensively, we are very, very focused on the deleveraging, in particular, because when you look at the EPS acquisition dilution, given some of the higher debt costs that we can repay even at our current stock price, it's still a really attractive proposition to do that. And of course, the cash flow accretion is something that we are focused on, too. 
Operator: And I show our next question comes from the line of Brian Bedell from Deutsche Bank. 
Brian Bedell: Maybe just moving over to Verafin, continued strong growth in new SaaS clients. And then just trying to get a sense of what that might mean for the cadence of revenue growth in that segment as we move throughout the year, if you think that can improve from the 23% level, already pretty strong. And then the rollout of the Entity Research Copilot is -- just your thoughts on how that might contribute to revenue progress throughout the year in that segment. 
Adena Friedman: Sure. Yes, we're not going to provide you specific kind of views of the revenue growth other than we say that it's mid-20s. And we feel good about the overall outlook there. I think that as -- with the copilot capability, the way that we're rolling out copilot would be the same that we're rolling out any new module that we provide to our small to medium bank clients. So when a small and medium bank client signs up for Verafin, they sign up for the platform. And we then introduce new modules into that platform -- or new capabilities into that platform through their contract period. And then at the end of the contract period, we walk through with them what's the return that we've offered them through that period and, therefore, what would be the price increase that we think is appropriate for the value that we're providing to them. 
 So as we roll out the copilot capabilities and we get usage across the platform, across the banks, it will help us show a really strong ROI for them so that in our renewal talks, it becomes a part of that conversation. But it's not a module that we're selling discretely to them. We want them to use it. We want them to integrate it into workflows. And we want them -- we want this product to be as sticky as possible and as valuable as possible, so -- for the renewal conversations. 
 As we look upmarket into the Tier 1 and Tier 2 banks, where it's all new sales and where we're selling modules, so as we go in and talk to them, are -- the modules that are the most straightforward to sell across our platform are the fraud modules because it's a very clear calculus of return to them. But as you talk about AML, it's a much more complicated problem. And now we have this new tool that we can offer through our AML solution that shows a clear return. So in addition to doing a great job of rooting out criminal behaviors and money laundering, we also can show them we're going to save them a ton of time and resources on the investigative side of it. And so we do think it will help us with sales. It will help us show value to the platform. And we can look at that as part of the pricing that we discussed with them when we signed them. So that's basically how we're using this tool to kind of drive sales retention and upsells. 
Operator: And I show our last question comes from the line of Michael Cyprys from Morgan Stanley. 
Michael Cyprys: Just wanted to ask about the Adenza business now that it's been about 6 months or so since close. Just curious, in conversations with clients of Calypso and Axiom, where you see the strongest moat across their business and capabilities? And where is there room for you to improve the moat as you kind of look out over the next couple of years? 
Adena Friedman: Yes. I'd say, first of all, one of the really big -- let's start with AxiomSL. One of their strongest elements is that they're completely global. They connect into over 100 regulators and across more than 50 countries. And so when they're talking to a bank that has any business in any country, they can say, "Look, not only can we solve the problems within country, but we can help you with your entire global business and all the regulatory reporting needs." 
 It also -- it's a machine. Like it's an amazing team of people. They have the regulatory expertise. And so when -- as soon as a new rule is even introduced or contemplated, they're already writing the requirements to bring that into the tool, so we're ahead of the rules every time a new rule comes out with a new module. And I -- it's interesting also. There's obviously a lot of new regulation coming, but we just, I think, do a great job of providing a very elegant way to ingest their data, deliver solutions, make it really efficient and on a global basis. 
 Now when it comes to Calypso, I think that, what we're finding -- there are 2 elements at Calypso that are just like world class, best in class. One of them is our collateral management capability. It's just excellent. And so we can walk in and show that we can really make them much more efficient managing their collateral, which then gives them better ability to drive liquidity across their franchise. It frees up capital. 
 The second thing is kind of clearing risk management, trading risk management so that, again, they can unlock liquidity and unlock capital for the use in the markets. 
 And then the third is on the treasury side. That's been a fast grower both on the brokerage businesses but also buy side. So any active trading buy-side client, the treasury tool has been a really good growth area for us. 
 So I think those are the areas where we just feel like we're kind of -- we're best in class. And that drives a lot of great conversations with the clients. 
Michael Cyprys: Great. And just a follow-up question. I was hoping you maybe could elaborate a little bit on the new product road map strategy for Axiom and Calypso as you look out for the rest of this year. 
Adena Friedman: Yes. So well, first of all, we are in a kind of what I would call an upgrade cycle for Calypso. So we have a new version that we're rolling out. And we're working to make sure we get all of our clients onto that version this year. So that's driving renewal activity. 
 I think that -- but more generally, we have also -- the Basel III and Basel IV end game is a driver of revenue growth and demand. And clients are really talking about it more as a when and how big, as opposed to if. And so I think that customers who are forward leaning are already signing with us to make sure that they're entirely ready. And with this Calypso-Axiom data transfer capability, we're also working with some of our Axiom clients on some Calypso capabilities that help them manage their capital more efficiently while they're managing their regulatory needs because that's going to be a big element of focus for the regulators. 
 So I have to say I do feel like those are the areas where we're seeing a product road map in year. Multiyear product road map is about making sure we continue to modernize the cloud-delivered solutions, make sure that we can do that super efficiently for them. We have more data -- modern data management capabilities that allow us to unlock more functionality within the platforms and make the products even more valuable to them. 
Operator: This concludes our Q&A session. At this time, I would like to turn the conference back to Adena Friedman, Chair and CEO, for closing remarks. 
Adena Friedman: Great. Well, thank you very much. 
 So as you heard throughout the meeting, Nasdaq continues to make progress on our 3 key priorities: Integrate, Innovate, and Accelerate, which will underpin our leadership and momentum as we move through the year. United behind these strategic priorities and powered by our market-leading platforms, we're firmly positioned to unlock our next phase of resilient and scalable growth. We look forward to keeping you updated on our progress throughout the year. 
 Thank you all very much, and have a great day. 
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.